David Mulholland: Good morning, ladies and gentlemen. Welcome to Nokia's First Quarter 2024 Results Call. I'm David Mulholland, Head of Nokia Investor Relations. And today, with me is Pekka Lundmark, our President and CEO; along with Marco Wiren, our CFO. Before we get started, a quick disclaimer. During this call, we will be making forward-looking statements regarding our future business and financial performance, and these statements are predictions that involve risks and uncertainties. Actual results may therefore differ materially from the results we currently expect. Factors that could cause such differences can be both external as well as internal operating factors. We have identified such risks in the Risk Factors section of our annual report on Form 20-F, which is available on our Investor Relations Web site. Within today's presentation, references to growth rates will mainly be on a constant currency basis. On margins, we'll be referring to our comparable reporting. Please note that our Q4 report and the presentation that accompanies the call are published on our Web site. This report includes both reported and comparable financial results, and a reconciliation between the two. In terms of the agenda for today, Pekka will go through the key messages from the quarter, Marco will go through the financial performance in a bit more detail, and then Pekka will make a few comments on a couple of particular highlights in the quarter. And we'll then move to Q&A. With that, let me hand over to Pekka.
Pekka Lundmark: Thanks, David, and thank you all for dialing in today. We said, back in January, that we expected a challenging environment in the first-half of this year, and that's what we saw in Q1. Our net sales declined 19% year-on-year in constant currency as the weak spending environment, that started to take hold in Q2, last year, remained with us. This impacted the profitability of our three networks businesses, but was offset by the benefit of deals signed in Nokia Technologies, and the ongoing cost reductions. Marco will go into more detail shortly about our financial performance in the quarter. You may also recall that we started to talk about improved order intake trends in Q4, particularly in our Network Infrastructure business. I'm pleased to say that this has continued in Q1. We have seen good growth in order intake year-on-year, and the book-to-bill in Network Infrastructure was above one. The outlook for Fixed Networks has improved over the past three months, which is important as this is often the market that recovers first in our business. However, it might take somewhat longer for our Optical Networks business to recover. With the continued order intake strength, I remain confident that we will see a stronger second-half performance and that, for the full-year, our Network Infrastructure business will return to growth. We have also been executing quickly on our cost reduction program, where we target to achieve between €800 million and €1.2 billion in cost savings by 2026. We are well on track with many actions already taken in Q4 and Q1 to achieve the total €500 million of in-year savings in 2024. €400 million of this relates to the new program we announced in October. One of the biggest highlights from Q1 is the three smartphone licensing deals that we signed. I'm delighted we have now concluded our smartphone licensing renewal cycle, and we'll have no more major renewals for a number of years. With these deals, we now have an annual net sales run rate of approximately €1.3 billion in Nokia Technologies. We have also benefited from over €400 million of catch-up net sales in the quarter related to these deals. Nokia Technologies' team will now focus their efforts on expanding in new growth areas, and we have a promising pipeline to help us deliver on our next target to increase our run rate to €1.4 billion to €1.5 billion in the mid-term. Finally, we saw strong free cash flow generation in the quarter with almost €1 billion of free cash flow. Along with the benefits in operating profit that we saw from the deals signed in Nokia Technologies, we have also seen some unwind of the working capital investment we made over the past two years related to the supply chain challenges and some growth opportunities we had. So, overall, the first-half of 2024 will remain challenging in our networks businesses, but with the improving order trends, progress made in Nokia Technologies, and our quick action on cost, we remain solidly on track to achieve our full-year outlook. With that, let me hand it over to Marco to go through the financial performance in more detail.
Marco Wiren: Thanks, Pekka, and good morning from my side as well. As mentioned, we saw a weak start of '24, with a 19% decline in our net sales as the challenging environment of the second-half of '23 remained with us. Our gross margin improved significantly year-on-year, to 48.6%, and this is due to a combination of an improved gross margin in Mobile Networks, and deals we signed in Nokia Technologies. Our operating margin also benefited from these deals, which offset [overall] (ph) profitability in our networks businesses. Free cash flow generation was strong in the quarter as a result of the Nokia Technologies catch-up payments and working capital improvements. This means that we ended the quarter with a net cash balance of €5.1 billion. And I will now take you through the individual performances of the business groups. And in Network Infrastructure, sales declined by 26%, compared to a very strong year-ago quarter where we still benefited from supply chain catch-up. I would also call out that, in the quarter, we saw a 23% year-on-year decline in Submarine Networks. And this was related to a project timing, along with some destruction, given ongoing Red Sea conflicts. We continue to sign new deals that increase our backlog in submarine. Gross margin declined slightly because of lower net sales coverage and less favorable business mix, and this flowed through to operating margin. As Pekka highlighted, order trends improved again in the quarter, which gives continued confidence that Q1 will mark the low point from a net sales perspective, and that the business will see stronger trends into the second-half of '24. This is supporting the assumption that Network Infrastructure will return to growth on a constant currency basis in full-year '24. And turning to Mobile Networks, as you recall, our first-half of '23 was driven by significant 5G deployments in India that then started to normalize in the second-half of last year. And this means that we face a very challenging comparison in the first-half of this year. And this, combined with ongoing low levels of activity in North America led to a 37% net sales decline in the quarter. We do expect that quarter one will represent the low point of net sales in both India and North America in '24. We saw a strong increase in gross margins, which was 42.4% in the quarter. And half of that year-on-year increase was the result of positive regional and product mix, and the remainder was due to exceptionally low indirect cost of sales, which we expect to normalize going forward. Operating margin declined due to low net sales coverage. And Cloud and Network Services also saw a soft start of the year, but we are seeing improving order intake and pipeline momentum also in this business. And our full-year assumptions remain unchanged. Gross margin increased by 310 basis points in the quarter thanks to a favorable product mix and regional mix. Operating margin declined compared to prior-year due to a lower net sales coverage. And as a reminder, in quarter four, we announced the sales of our Device Management and Service Management businesses to Lumine. And this transaction has now closed, and will have a modest impact on CNS in quarter two, and onwards. To give you some context, the business was generating more than €100 million of annual sales, with good profitability. And then briefly on Nokia Technologies, we were very pleased to see the conclusion of the smartphone renewal cycle, which brought with it over €400 million in catch-up payments in the quarter. And this increased our run rate from €900 million to €1 billion, which we had at the end of quarter four, to €1.3 billion we currently have. And now, the next goal is to increase our licensing net sales run rate to between €1.4 billion to €1.5 billion in the mid-term as we grow in the other areas that Pekka will explain later. And then the regional picture was, as expected, with significant decline in India, which had completed a large deployment in '23. Similarly, the North American decline reflected continuation of low levels of deployment that we saw during the second-half of '23. And elsewhere, we largely saw declines in most regions, reflecting the ongoing weak market environment, while we continued to see growth in Middle East and Africa. And finally, on cash, you can see from the chart here that the dual impact of the catch up payments in Nokia Technologies and the release of working capital led to generation of almost €1 billion of free cash flow. We also reduced the level of sale of receivables in the quarter. And we therefore ended the quarter with €5.1 billion net cash and are on track to achieve our targeted free cash flow conversion of 30% to 60%. And with that, let me hand you back over to Pekka.
Pekka Lundmark: Thank you, Marco. Firstly, I want to touch on Fixed Networks. We are the market leader with over 40% market share globally excluding China in OLT products. With our product portfolio and the ability to offer customers a roadmap to deploy X GPON, XGS-PON, and 25G PON in the same line card, we have a compelling value proposition. Customers can also upgrade to 50G and 100G in the same chassis down the line with our Lightspan MF-14 platform. We also launched new ONT products for 25G in the first quarter. These ONTs support both business as well as residential applications. Looking then at market dynamics, it's important to remember that globally excluding China over 70% of homes are still not connected by fiber and there is a significant opportunity remaining in our biggest markets of both North America and Europe. In North America, we are now seeing some stabilization in demand as inventory positions have improved and we see the BEAD funding program progressing well, which we will still expect will start to benefit in the second-half and more meaningfully in 2025. In Europe, we see deployments remaining at a high level in markets with low penetration and we are seeing some mature markets starting to upgrade to XGS-PON and 25G PON. We are also seeing good momentum and growth opportunities this year in many of our other regions for fixed networks. Next, I wanted to highlight our Optical Networks business as we had a number of important launches in the quarter. New services and applications are driving significant increases in optical network capacity to the metro edge. Therefore, we have expanded our optical portfolio to address these needs. In March, we announced the expansion of our pluggable coherent optics portfolio to now include 100, 400, and 800 gigabit per second transceivers. We also introduced new interface cards and chassis that bring scale and efficiency to metro edge applications that serve a diverse set of networking functions needed by our various customer types. In both IP and optical networking, we are clearly recognized as a market leader. This means we are uniquely positioned to serve the evolving needs of our customers in an unbiased way as they consider various converged IP optical network architecture alternatives. This truly differentiates us from the competition as typically they only have scale in either IP or optical. I now wanted to provide a few words on our Mobile Networks business and our portfolio. Firstly, you can see in the charts, our products now deliver market leading throughput performance. A few years ago, we were behind on live networks performance for 5G. If you look at performance in live networks today, those cities that use our products are delivering better downlink performance and slightly better uplink performance than our competitors. With each generation of software release, we continue to improve on this. Secondly, we offer customers the greatest flexibility in terms of deployment for their networks. Operators are looking at opportunities to virtualize and optimize their network deployments. With our ramp approach, we offer the greatest flexibility in compute platform between different servers, CPUs and even cloud platforms for their baseband deployments, all while maintaining feature parity with our purpose-built baseband solutions. Finally, we remain the most committed and engaged of the traditional equipment vendors to O-RAN. We are the largest contributor to developing the open interfaces with a transparent roadmap on product availability. We have completed operability with five different radio suppliers. This has also been helping us commercially with deals signed with Deutsche Telekom and NTT DOCOMO last year, along with the deal we signed in February with Rakuten. The next topic I wanted to talk about is how we are helping operators address their two biggest challenges. Automating their operations and reducing OpEx as network complexity grows and also how they can monetize their 5G networks. Let me explain how our technology enables this in a way that nobody else in the market is doing. Regarding automation, we have the capability to drive zero-touch autonomous operations across all network domains. We manage autonomous operations across multi-vendor networks, meaning that we are providing this service management and orchestration in customer networks that combine multiple vendors rather than only orchestrating our own networks. This has been helping us to win against the competition and benefits from our position of having first-hand knowledge and deep expertise across RAN, transport, core, and the many different capabilities you see on the slide. On the monetization side, our holistic solution is what also enables network programmability and the ability for CSPs to expose their APIs to developers using our network as code platform. This is a key point and we already have 11 operator agreements for our platform. To fully benefit from the emerging network APIs, CSPs need their operations to be fully automated because the API paradigm assumes an application interacts directly with the network in real time. In fact, we have customers who are purchasing our autonomous operations specifically to accelerate their API exposure strategy. Secure autonomous operations also underpin the ability to achieve network slicing at scale, which is another 5G monetization vehicle. To conclude, we have a highly differentiated solution for orchestration, which enables our customers to monetize their networks and run secure autonomous operations to address their biggest challenges in a way that none of our competitors can do. I also wanted to highlight some partnerships that we announced in the quarter that will benefit both our mobile networks and cloud and network services businesses. At Mobile World Congress, we announced the strategic partnership with Dell. On the Nokia side, we will now adopt Dell as our preferred infrastructure partner for existing Nokia AirFrame customers, which will enable us to refocus our R&D efforts into areas where we can really differentiate as Nokia. Secondly, our private wireless solution, NDAC, or Nokia Digital Automation Cloud, will become Dell's preferred private wireless platform for enterprise customers. And we can see this becoming a very powerful channel to further drive growth in private wireless. We also announced the partnership with Nvidia that will help us to broaden the compute platforms we support with our anyRAN solution that I talked about earlier for Cloud RAN deployments. This will help us to accelerate the opportunities to bring AI capabilities into the RAN network. We will also partner with Nvidia on some elements of 6G research. And finally, in Nokia Technologies, as a quick reminder of some of the new growth areas we are now focusing on. We have been making strong progress in more developed areas like automotive and consumer electronics. You can see on the slide some of the recent deal examples here. We also see areas like IoT and multimedia as strong opportunities where we are in active negotiations, but the markets are still in the early stages of development. In multimedia, for example, we have a strong patent portfolio covering multiple technologies, including video compression, content delivery, content recommendation, and aspects related to hardware. In these areas, we see a promising pipeline to increase our licensing net sales run rate. So to conclude, while the market weakness remains, we do see improving order trends giving us confidence that we will return to growth in the second-half of the year, particularly in network infrastructure. We have now concluded the smartphone renewal cycle which allows Nokia Technologies to enter a period of stability, and can therefore focus its efforts on the expansion areas we discussed. The deals signed also contributed to the strong cash generation we saw in Q1. In the meantime, we will continue to execute on our cost savings plans to optimize margins during this weaker environment, while maintaining our commitment to R&D investment. These cost actions, along with the expected improvements in net sales into the second-half of the year give us confidence that we are solidly on track to deliver our outlook for 2024. So, with that, let me pass you back to David, who will introduce the Q&A section of the call.
David Mulholland: Thank you, Pekka and Marcus, for the presentations. For the Q&A session, as a courtesy to others in the queue, please limit yourself to one question and a brief follow-up. George, could you please give the instructions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] I will now hand the call back to Mr. David Mulholland.
David Mulholland: Thanks, George. We'll take our first question today from Artem Beletski from SEB. Artem, please go ahead.
Artem Beletski: Yes, hi, and thank you for taking my question. I actually would like to pick some further thoughts from you regarding full-year guidance. So, looking at Q1 development, I think it's fair to say that the -- when it comes to network segments, so there has been a bit steeper declines than what you have suggested initially, but at the same time you are quite positive [for control the] (ph) situation. Could you maybe comment on balance, are you more confident when it comes to full-year guidance and outlook versus previously, for example, in accordance with Q4 result? Thank you.
Pekka Lundmark: Thank you, Artem. Well, first of all, as I already said, we saw some positive order trends already in Q4, especially Network Infrastructure. And we were pleased to see that those trends continued in Q1. And then, in addition to NI, we also commented that order trends in CNS were positive in Q1. And this is not only orders that we have them, but this also led it to the pipeline of new opportunities that we are seeing. So, obviously, it's hard to give a simple answer on the confidence level, but nothing has really changed. I mean, we remain confident on the full-year forecast. We are obviously three months into the year, and the trends are largely playing out from order intake perspective as we would have hoped. There is always some variability between quarters. And in NI, you saw that our comments, we're now a bit more positive on Fixed Networks, and a bit more cautious on Optical Networks. But as a whole, nothing has changed from Q4.
David Mulholland: Did you have a follow-up, Artem?
Artem Beletski: Yes, indeed. And the quick follow-up is, indeed, related to Fixed Networks. And as you mentioned, the outlook for this year has improved. Could you maybe elaborate a bit where from it is coming? Is it the BEAD program, more broad-based, the inventory situation as you see it right now, and so on?
Pekka Lundmark: It's actually a combination of those. I mean, the outlook in North America is looking more positive. Now, we have some exciting fixed wireless access developments in Asia-Pacific. It's fairly broad-based. And when it comes to BEAD, of course, I mean that is a long-term development. So, you will see some benefit from that in the second-half of the year, but then even more into '25 and '26.
David Mulholland: Thanks, Artem. We'll take our next question from Daniel Djurberg from Handelsbanken. Daniel, please go ahead.
Daniel Djurberg: Thank you, David, and good morning, Marco and Pekka. I will have a question little bit on the organization's changes you did, starting from Q4, but that took place officially from start of the year. A little bit of reshuffling, I guess, and also in C-level managers, et cetera. How has this impacted the operations in Q1, and should we expect this to, if it has, is it now settled and so the focus can be on customer going forward? Thanks.
Pekka Lundmark: Yes, thank you, Daniel. Good morning. The reshuffling of the organization has been completed. We did it very quickly. Quickly, it was put into force in the beginning of the year. We basically used Q4 for planning. The old organization remained in place over Q4. And then, overnight, on January 1, the new organization was put in place. Obviously, there is -- when you do this type of a reshuffle, of course there is a period of instability. But we are already behind that. And now, we are seeing the new organization has started to accumulate speed and get a more -- gain more and more traction. What I do want to emphasize is that when we talk about the business groups being more autonomous and also running sales, a very important principle also in the new model is that for all key customers there is always an account executive that is responsible for our overall strategy and relationship with the customer being one part of the role, and then, the second part of the role being the coordination of all multi-business group topics for that customer. So, this is important to note, that we are not approaching these customers in silos. The purpose of this whole thing, as I communicated also earlier, is to really bring the customers closer to the decision-makers of our businesses, and the people that make decisions on the solutions that we bring to the market, and people that sit on the crucial R&D resources, we want to shorten the distance between the customer and the business decision-markers, and really place highly empowered teams in front of the customer.
David Mulholland: Do you have follow-up, Daniel?
Daniel Djurberg: Yes, I can take a quick one on Mobile Networks. Do you or did you have any contract breach [by] (ph) AT&T or something in the numbers or should expect anything like that to materialize ahead?
Pekka Lundmark: There were no such elements in the Q1 numbers. When it comes to the AT&T situation, we do not have any updates at this stage. Negotiations are still ongoing with respect to the conclusion of the existing contract.
David Mulholland: Thanks, Daniel. We'll take our next question from Alexander Duval from Goldman Sachs. Alex, please go ahead.
Alexander Duval: Yes, thanks so much, David, for the question. And firstly, you referenced O-RAN solutions in your prepared remarks. I think one of your competitors is talking about seeing increased market activity in that area. So, I was just curious is you're seeing a greater prevalence of O-RAN requests in deals, discussions and, if so, whether that have any implications for your R&D roadmap? And second, well, just to come back on NI, just wondered if you could help understand the degree of visibility you have there? Obviously, you've talked about some improvement in orders. However, last year, I think there was a sort of very positive outlook at the start of the year. And then, through the year, things became more tricky on that side. So, just wondered if something has changed this year? Which would be the key positive drivers that give you confidence on the visibility there? Many thanks.
Pekka Lundmark: Okay, thank you. If I take the O-RAN question first, so the interest is gradually increasing. And I think it's a good thing. As you know, we have been, from the beginning, a strong supporter of O-RAN, the strongest contributor to the standard. We have several real customer implementations, commercial implementations underway. And we are clearly the leader as to the company -- all the companies who have tested and demonstrated interoperability between us -- our solutions and other vendor solutions. So, we are welcoming the increased interest in O-RAN, and we believe that we are fully competitive, regardless of which of the scenarios in terms of O-RAN speed will materialize. Of course, part of this is also the other aspect of network evolution development, which is the cloudification of the -- especially the baseband functions of the network. And there, I can say the same thing. This is, of course, a different thing from the open fronthaul interface that O-RAN will bring, but often these two will coexist in the future, and we are equally pleased to be clearly one of the leaders in the Cloud RAN development as well, exciting initiatives going on with multiple customers in different parts of the world. Then when it comes to the NI, of course, a very important thing to note there, which we have said earlier, but I do repeat it also here, is that 2023 was kind of an exception because there was in Q1, as you remember, more than 15% operating margin in NI because of the catch-up deliveries that we had -- that went -- that came from the supply chain shortages that affected volumes in 2022. So, there were two things then that happened in '23. Operators network build out pace slow down and on top of that, they consumed a lot of the inventories that they had built and then we were recovering from the supply chain situation. So, the dynamics of 2023 were really, really exceptional. And this year we are moving back to a much more kind of normal seasonality where Q1 is the weakest and then gradually it improves towards a stronger second-half and then Q4 being the strongest. So, this is what we are expecting this year and the good thing is that the order trends that we see in NI, they started to support this already in Q4 last year, and those trends have continued in the first quarter of this year, especially in fixed networks in North America, in fixed wireless access, for example, with a significant customer in Asia Pacific. In IP networks, we continue to see tailwinds in the second-half of the year from enterprise and web scale winds and as I said it now seems that in optical networks the recovery could take a little bit longer than originally expected. This is consistent with what some of our optical networks competitors have commented. And then, maybe finally on submarine networks, there we are executing on a strong backlog. So, the weak delivery, so weak top-line in Q1 was more related to project timing impacting Q1 than the strength of the order backlog. And in addition to the order backlog in submarine, there is a strong pipeline of new opportunities as well. So, maybe there is some ammunition to deal with, address your question with these things that I went through.
David Mulholland: Thanks, Alex. We'll take our next question from Sebastien Sztabowicz from Kepler Cheuvreux. Sebastien, please go ahead.
Sebastien Sztabowicz: Yes, hello everyone. On mobile networks, you started also the year on a very soft path and you need to accelerate strongly your revenue growth in the next two quarters to reach your guidance, minus 10, minus 15. What kind of visibility do you have on the acceleration of sales growth in mobile networks? And the second question is on the U.S. market, specifically in mobile. It seems the environment remained depressed in the first quarter. When do you expect the inventory correction to be completed or the demand to be back in the U.S. market in mobile networks? Thank you.
Pekka Lundmark: The Q1 was of course very weak from a top line perspective. This was largely because of India. And again here you have to remember what happened last year, especially the first-half of 2023 saw a massive 5G deployment in India. Now those volumes have normalized. We do expect that the low volumes in both India and North America in Q1 will improve then in the coming quarters and this is based on obviously a combination of the visibility we have through order backlog and then also the discussions on the pipeline that we have with these customers. So, we do maintain the 10% to 15% decline expectation in mobile networks for the year. The second question was?
Sebastien Sztabowicz: The inventory levels in North America.
Pekka Lundmark: Do you want to take that one Marco?
Marco Wiren: Yes, as we said last year in quarter four as well that the inventory level issue was more on '23 issue and it's much less an issue this year. What we see now in North America is that of course the macroeconomic environment is also impacting our customers' investment levels and we will see this during this year as well. But we'll also mention that quarter one is exceptionally low and we see that this is a low point of mobile networks and top line as well.
David Mulholland: Thanks, Sebastian. We'll take our next question from Sami Sarkamies from Danske Bank. Sami, please go ahead.
Sami Sarkamies: Hi, thanks for taking my question. I have a question regarding your balance sheet. It's looking quite overcapitalized relative to your net cash target range. And if you think about the share buyback programs you have decided for this year, next year for €600 million, that's unlikely to kind of fix the overcapitalization issue. Are you willing to revisit the share buyback program decision before '26 as I think you may be in a position to buy back more than the €600 million that has been decided already?
Pekka Lundmark: Yes. Thank you, Sami. And yes, we are -- we had a very good cash generation this year in quarter one and about €1 billion and the net cash is at €5.1 billion at the moment. We will look into this more over time and what actions we should take. But of course, in the end, it is the Board of Directors' decision what they want to do. And as we've said that our target is to have net cash position between 10% to 15% of our net sales, and that target remains. So, there's no immediate actions that are expected, but of course, this is something that the company and the board is looking over time.
David Mulholland: Did you have a follow-up, Sami?
Sami Sarkamies: Yes, maybe regarding the gross margin at Mobile Networks, you commented that half of the improvement was not sustainable. Is that going to normalize already in the second quarter?
Pekka Lundmark: Yes, I would say that as we mentioned, it's more about retrofit and warranty and that kind of costs that were exceptionally low in the first quarter and we expect that this should be more normalized going forward.
David Mulholland: Thanks, Sami. We'll take our next question from Simon Leopold from Raymond James. Simon, please go ahead.
Simon Leopold: Thank you very much for taking the question. I wanted to see if you could talk a little bit about the diversification efforts. You didn't update us this quarter, I think on the portion of revenue coming from enterprises and other non-telcos. And within that, if you could elaborate on your expectations for how particularly the web scaler could develop if you could envision your switching business contributions there getting bigger than optical and routing? Thank you.
Pekka Lundmark: Well, this is not the negative comment about optical and routing in any way, but we absolutely target to grow the switching business as quickly as possible. But of course, when you deal with the large -- especially with the large web scalars, it takes time with these customers to ramp up volumes. But that business is clearly ramping as we speak and it is ramping based on some real deals that we have with these customers. In general, the non-CSP business, which is the part of share of which we intend to grow, we had also in that segment, customer segment, good order intake growth in Q1, much better orders than in Q1 last year. And we do expect that when we look at the full-year that the double-digit top line growth will continue in the non-CSP segment.
David Mulholland: Do you have a follow-up, Simon?
Simon Leopold: Yes. Just a brief follow-up, I know it's a gradual transition, but any updates you can offer in terms of displacements of Huawei, particularly in Europe? Has there been progress there? Thank you.
Pekka Lundmark: Yes, it is gradual progress. So, it's difficult to give you any kind of overnight changes or anything like that. But in typical Chinese vendors account 20% to 30% in markets outside of China, outside of the U.S. of course, We estimate that last year in Mobile Networks and network infrastructure, the Chinese vendors have roughly or had roughly €12 billion in sales outside of China. And about half which is €6 billion of that in Europe, and this is obviously an ongoing discussion in several European countries that how they should deal with that question. But gradually the importance of this opportunity for us is continuing to grow.
David Mulholland: Thanks, Simon. We'll take our next question from Richard Kramer from Arete. Richard, please go ahead.
Richard Kramer: Thanks very much. Pekka, I appreciate this might be a difficult question, but when you look at MN sales, they're down by about a third, but R&D is actually up and remaining well over €500 million and your guidance is for a low single-digit-margin. How do you potentially reduce exposure over time to MN given what's going to be a lower margin profile for that business and reduce scale? Is there any way to bring down that R&D expenditure while remaining competitive? Or is that just simply going to be the lower margin portion of your business for the foreseeable future?
Pekka Lundmark: Well, obviously, when we are implementing our cost reductions and you remember what we announced on a group level after Q3, €800 million to €1,200 million cost reduction. I think we said that about 60% of that would be Mobile Networks, but clearly implemented in such a way that we would always protect R&D output, because that is crucial. We are not going to let the situation repeat itself where we were behind our competition in 5G competitiveness in the early stages of 5G. Now we have caught up and we intend to stay in that lead when we gradually develop towards 5G Advanced and then 6G. So, that is something that we will always protect, but having said that, of course, there are always ways to improve R&D productivity. And that is something that we are investing heavily on and with pretty good results. We've been able to increase our R&D output and productivity with fairly stable R&D investment. And this is something that we expect to continue in the future. I'm not saying exactly where the R&D volume in terms of euros in MN will be in the future through AI with copilots for software programmers et cetera. There is a real case for improving software R&D productivity. And of course, we will seek to take maximum advantage of these opportunities as well.
David Mulholland: Did you have a follow-up?
Richard Kramer: Yes, very quickly. For Marco, you're coming up at the end of June to sort of the extended contractual agreement with Nokia Shanghai Bell. Can you give us a sense by the time you report next time, you'll have to have concluded that where you're going to stand with respect to that, the potential liabilities and how you expect that to play out with that longstanding asset you've had in China?
Marco Wiren: Yes. This is something that of course we will discuss with our counterparty in China as well. And whenever we have any news, we will inform you about this.
David Mulholland: Thanks, Richard. We'll take our next question from Joseph Zhou from Barclays. Joseph, please go ahead.
Joseph Zhou: Thank you for taking my questions. And the first one is, can you quantify how much of the 37% organic sales decline in Mobile Networks or the 40% in North America for that division was really driven by the impact of the AT&T deal?
Pekka Lundmark: Yes. Thank you, Joseph. The North America as a whole, we saw weakness in quarter one and there's not any specific customer that this is directed to. And what comes to AT&T, we don't have any update what comes to the contractual discussions and negotiations that we have with them right now is still ongoing. And whenever we conclude, we will inform you about that as well. And exactly how the rest of the year will develop in North America, we follow that very carefully as well. And then, remember that AT&T continues to be a very important customer for Nokia as a group, but also for Mobile Networks, they continue to sell other services to AT&T like FEMSA, microwave and some other services as well going forward.
David Mulholland: Did you have a follow-up, Joseph?
Joseph Zhou: Yes, my second question is just basically on China. And there has been some recent news about the government is kind of stripping out the foreign chips from the telecom equipment. And as I understand, all your chips are foreign chips, and they come from the likes of Mobile, Intel, Vodafone, etc. And does it mean your China sales will, there's a risk that your China sales go to very minimal? And also, have you seen any impact from that in Q1 at all, or is it mostly just like the Garmin box.
Pekka Lundmark: No, we have not seen any impact of that. And I have to say that we still need more clarity around that statement, because there are so-called foreign chips in pretty much all parts of all networks. So, it's very hard to see what that would mean in practice. So, we need more clarity about that. But important for us is to of course remember that our market share in China is fairly low and China accounts only -- Mainland, China accounts for a low single-digit percentage of our sales.
David Mulholland: Thanks, Joseph. We'll take our next question from Sandeep Deshpande from JPMorgan. Sandeep, please go ahead.
Sandeep Deshpande: Yes, hi. Thanks for letting me on. I have a question on the growth of your routing and switches business in the enterprise and where you are at this point there in terms of design with activity. There was a lot of design with activity in this business a year or slightly more than a year ago, but it seems to have not been followed up to some extent. So, maybe I'd like to hear on that business. And then, I have a follow-up on the mobile business itself. Now when -- with the loss of the U.S. customers, I mean, you are clearly thinking about the mobile business in the long term. Clearly, you have a strategy for 2026, but is there a strategy beyond? Does this business have to go back and get back to U.S. customers, or is this that is going to be a sub-scale business for you, or there is some other strategy to make it a much more profitable business?
Pekka Lundmark: Okay, thank you, Sandeep. The web-scale customers first, there are some undisclosed deals that we are working on to implement and ramp up at the moment. Hopefully, we would soon be able to publish who these guys are. So, that one is ramping, and we continue to believe that switching for web scalers will be a key growth driver in our non-CSP growth, not only for NI, but for Nokia as a whole. Then when it comes to mobile networks in the U.S., absolutely our target is to maximize our market position there in the mid to long term. And we believe that our offering is strong. We have nothing to be ashamed of there. And of course, AT&T has confirmed that the reason for the decision was not the strength of our offering. So, absolutely we plan to fight back and when it comes to mobile networks in North America in general of course one thing is the big three operators then there is tier 2 and tier 3 as well. But then in addition to that there is a growing private wireless business in North America that we are doing with several of our partners. And then, in addition to all of this, there is in the mid to long term significant potential with the defense industry that is considering to start taking commercial technologies that 5G into the military applications, including tactical use. So, these are all important drivers for most mobile networks in North America. Absolutely we are not going to be happy and settle with the market position that we currently have there.
David Mulholland: Thank you, Sandeep. We'll take our next question from Jakob Bluestone from BNP Paribas Exane. Jacob, please go ahead.
Jakob Bluestone: Thanks for taking the question. I had a question and a quick follow-up after. Just on the optical network side, where you struck a more cautious tone, I'd just be interested in hearing what is behind that and what is sort of the timeframe you're thinking about a recovery happening there?
Pekka Lundmark: Exact time frame is difficult to say. We commented that it seems to be happening a little bit slower than we thought earlier, at the same time when we commented that the fixed network seems to be recovering a bit faster. So, these two would, in a way, balance each other out. We had book-to-bill in optical networks that was above one in Q1, so it is contributing to the increasing order backlog of NI. We also have especially tough comparables in optical networks compared to Q1 '23, when we especially in that business recovered from the supply chain bottlenecks. We had, if you remember, we had 45% growth in optical in Q1 last year. So, that's the comparables that we are facing. On the product side, we are highly confident that we are in a good place. Our new PSE-6 and 6S platforms continue to pick up momentum. We have several new customers there doing trials. We are delivering best-in-class performance. We have -- you may have seen our recent announcement with SURFnet. So again, highly confident on the product side and clearly everything we are seeing in AI and cloud compute will drive investments into data centers, into data center fabric itself, which of course will benefit switching and then the data center interconnects, which will benefit the optical. And again, the big advantage that we have compared to, I would say, anyone else is that we have scale both in IP and optical. So, depending on, regardless of how operators want to play this architectural game that what you are doing in the network on the optical layer and what you are doing on the IP layer, we will have an answer to their needs.
Jakob Bluestone: Thanks for that. I just also want to ask a quick follow-up. I think you made a comment earlier that you expected that Q1 was the low point for North American mobile networks revenues as well as Indian. So, just make sure I got that right. So, even with AT&T maybe falling out later in the year, you still expect the roughly 400 million of mobile networks revenues in North America to be the low point for the year?
Pekka Lundmark: Yes, you are correct. That's what we said. And the AT&T situation has been taken into account in that statement.
David Mulholland: Thanks, Jakob. We will take our next question from Felix Henriksson from Nordea. Felix, please go ahead.
Felix Henriksson: Hi, thanks for taking my question. I wanted to revisit the mobile network's revenue growth guidance of minus 15% to minus 10% for the year and see whether or not you sort of use the minus 4% market growth rate by Dell'Oro, which are primarily geared towards optimistic in deriving this as a basis for market growth and sort of revisit what gives you confidence to call out the market bottom in the North America for Q1 given that you must be losing volumes from the AT&T customers. Thank you.
Marco Wiren: Well, obviously we are part of the same market with our Swedish friends who made that comment and I have really nothing to add that comment. I mean, we are seeing the same thing. We do expect that the whole market will remain weak this year. There seems to be slightly different dynamics, especially when it comes to India. We had a huge ramp-up in India in the first-half of the year, which gives us extremely tough comparables, which will then help us quite a lot in the year-over-year comparison for the second-half of the year. So that's why, when we are combining that with the fact that we believe, and this we are seeing through our order backlog and the discussions with customers, that we believe that we saw the low point in deliveries now in Q1, both in North America and in India. That then combined with the activities in the rest of the world, we are hopeful that in our case, our MN top line would pick up for the rest of the year the remaining quarters from the level in Q1. But that does not change the fact that the full-year will be weak for the whole of mobile networks. And when you talk about our top-line forecast compared to the Dell'Oro forecast, of course, what needs to be kept in mind there is really the India situation, where we have a very high market share in India. And when that market ramps up massively and then drops significantly back to kind of more normal levels in one year. Obviously, that is then to be reflected on our top line also when you are comparing our top line development to whatever the global market development will be.
David Mulholland: Do you have a quick follow-up?
Felix Henriksson: Yes, just quickly. Do you still expect to see continued free cash flow support from a decrease in receivables related to India in the coming quarters or has this sort of net working capital profile are related to India now normalized?
Pekka Lundmark: Yes, we started seeing the net working capital release already in the quarter four, if you remember that, and it continued now specifically in quarter one when it comes to accounts receivables. And then, of course, it always depends a little bit what is the geographical or customer mix as well. But I believe that there is still potential in the working capital to improve exactly how, what the timing is and it depends also throughout the Europe how the mix is between different geographies and regions, but also the timing of the revenues between different quarters. Because, of course, when you have a very heavy quarter four, then usually that ties up accounts receivables towards the end of the year and payments coming in quarter one. But we started the year extremely well, and we believe that we are in a very solid track to that outlook that we have when it comes to free cash flow generation or conversion between 30% to 60%. And remember also that quarter two, we usually are impacted by the annual variable pay that always comes in quarter two.
David Mulholland: Thanks, Philips. We'll take our final question this morning from Emil Immonen from Carnegie. Emil, please go ahead.
Emil Immonen: Hi and thank you for taking my questions. I just wanted to understand the cost savings program, was there something already visible from that in Q1? Or when should we expect that to start to show in your results?
Pekka Lundmark: Yes. Thank you, Emil. Yes, we started actions immediately in October when we announced the cost saving program. And of course, usually it takes some time, but we start to see already in quarter one impacts of the cost saving program. And just give you some more facts behind this. But if you look number of employees in end of quarter one compared to end of quarter four last year, so we've been reducing number of employees more than 2,000 people already in quarter one. So, we are in a good, I would say, position to execute the expected cost savings for this year. It's totally in your savings of €500 where €400 is coming from the new program.
David Mulholland: Do you have a quick follow-up, Emil?
Emil Immonen: Yes, just on the MN side, so can you help me understand where is about the breakeven point in sales for your operating profit?
Pekka Lundmark: Yes, we have been working with our Mobile Networks has been working on reducing their cost base, but also what comes to the breakeven point. And with these actions that we have been taking and will take in the new cost saving program, the ambition level is that we will reach the breakeven point of top line of around €8 billion by 2026. At the same time, we also lower the breakeven point or the point where we would reach double-digit operating margin, which used to be €11.5 billion. I now believe that will be taken down to €10 billion.
David Mulholland: Thank you, Emil. And thank you everyone for your questions today. Ladies and gentlemen, this concludes today's call. I would like to remind you that during the call today, we have made a number of forward-looking statements that involve risks and uncertainties. Actual results may therefore differ materially from the results currently expected. Factors that could cause such differences can be both external as well as internal operating factors. We have identified such risks in the Risk Factors section of our Annual Report on Form 20-F, which is available on our Investor Relations website. Thank you all for joining us.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.